Operator: Good morning and welcome to the LXP Industrial Trust Second Quarter Conference Call and Webcast. All participants’ will be ion listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Heather Gentry, IR at LXP. Please go ahead.
Heather Gentry: Thank you, operator. Welcome to LXP Industrial Trust second quarter 2022 conference call and webcast. The earnings release was distributed this morning and both the release and quarterly supplemental are available on our website in the Investors section and will be furnished to the SEC on a Form 8-K. Certain statements made during this conference call regarding future events and expected results may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. LXP believes that these statements are based on reasonable assumptions. However, certain factors and risks including those included in today's earnings press release and those described in reports that LXP files with the SEC from time-to-time could cause LXP's actual results to differ materially from those expressed or implied by such statements. Except as required by law LXP does not undertake a duty to update any forward-looking statements. In the earnings press release and quarterly supplemental disclosure package, LXP has reconciled all non-GAAP financial measures to the most directly comparable GAAP measure. Any references in these documents to adjusted company FFO refer to adjusted company funds from operations available to all equity holders and unit holders on a fully diluted basis. Operating performance measures of an individual investment are not intended to be viewed as presenting a numerical measure of LXP’s historical or future financial performance, financial position or cash flows. On today's call, Will Eglin, Chairman and CEO; Beth Boulerice, CFO; Brendan Mullinix CIO; and Executive Vice President; James Dudley will provide a recent business update and commentary on second quarter results. I will now turn the call over to Will.
Wilson Eglin: Thanks, Heather and good morning, everyone. Our core business continues to operate consistently and extremely well in a volatile capital markets environment. We're pleased with our second quarter financial and operating results, which reflect the success of our investment strategy and the value of owning warehouse distribution facilities. Tenant demand in our markets remains healthy as evidenced by rent growth on average of 21% year-over-year in our target markets through quarter end. We completed approximately 1 million square feet of new leases and lease extensions during the quarter in our warehouse distribution portfolio, resulting in strong base and cash based rental increases of 21% and 19% respectively, with average annual escalations of 3%. Currently, we believe our portfolios in place, warehouse distribution leases are estimated to be approximately 17% below market based on independent brokers' estimates. Our mark to market opportunity remains compelling as we move towards a heavy period of lease rollover from 2024 to 2028, in which 51% of our industrial ABR expires. Based on the independent brokers' estimates, our industrial portfolio cash rents today are forecasted to grow on average approximately 47% for lease expirations through 2028 or 36%, when adjusted for rent escalations. We also expect our average annual industrial rent escalations of 2.4% to continue to improve as the majority of leases in our markets are being executed with 3% or higher annual escalations, further enhancing our embedded growth opportunity. Our active asset management strategy has improved the overall quality our industrial portfolio. Tenant credit is strong with more than 59% of the portfolio investment grade, the average age of our facilities is 8.9 years and our weighted average lease term is 6.7 years, which provides some protection if tenant demand were to soften in a recessionary environment. From a capital allocation perspective, sales proceeds and other sources of liquidity will be utilized to fund our development pipeline, repurchase shares and pay down debt. While acquisitions are useful in the context of the deferring tax gain, currently we do not see a need to complete any further 1031 exchanges this year. On the development front, our outlook for our pipeline remains extremely favorable. We commenced development on a new project in Central Florida during the quarter and we have a total of six development projects now underway. We also increased our land bank to 637 acres this quarter making investments in Atlanta and Indianapolis, which further broaden our opportunity for prospective development projects. Year-to-date, we've repurchased 7.9 common shares at an average price of $11.27 per share and today we announced that the Board authorized the repurchase of an additional 10 million shares. We continue to view share repurchases as an attractive use of capital to drive value creation for shareholders and intend to act on the new authorization of shares as market conditions warrant. In July, we appointed Derrick Johnson to serve as an Independent Trustee on our board. This appointment was part of our ongoing Board refreshment process and consistent with our previously outlined goals. Derrick’s extensive expertise across strategy, marketing, business development, finance and operations at various organizations, including 20-years spent at UPS aligns very well with our warehouse distribution focus. We are pleased to welcome Derrick formally to our Board and believe his skills and experience will be of great value to shareholders. Additionally, on the ESG front, we recently submitted to GRESB for the 2021 calendar year and planned to publish our second corporate responsibility report this fall. We've been busy improving our current ESG program, including enhancing disclosure, and we look forward to continuing down the path of establishing and maintaining best-in-class ESG practices. In summary, we believe our portfolio is positioned to perform consistently well in the current environment. Our focus remains on maximizing shareholder value through all opportunities, including share repurchases, asset monetization, completing and stabilizing our development pipeline and capitalizing on other releasing opportunities. With that, I'll turn the call over to Brendan to discuss investments in more detail.
Brendan Mullinix: Thanks, Will. We purchased one stabilized industrial asset in the Phoenix market for $59 million during the quarter, bringing year-to-date acquisition activity to $131 million at average stabilized GAAP and cash cap rates of 4.5% and 4% respectively. These acquisitions allow us to defer up to approximately $50 million of taxable gains. Our investment strategy continues to focus on development projects versus the purchase of stabilized assets. Development funding for the quarter totaled $53 million across six ongoing development projects, which are comprised of 10 buildings in our target markets with Phoenix, Greenville, Spartanburg, Indianapolis, Columbus and Central Florida. We expect our Columbus and Ocala projects to deliver this fall with the remainder of the deliveries scheduled through fourth quarter of this year to the second quarter of 2023. As we mentioned on last quarter's call, in May we commenced development on a two building, 271,000 square foot warehouse distribution project in Ruskin, Florida on I-75 corridor, expanding our presence in the Tampa market. Tampa has experienced strong leasing activity for existing facilities with limited spec construction deliveries. And roughly 20 acres, the buildings will feature 32 foot clear heights with rear loading designs. We expect the project to be completed in the second quarter of 2023 for an estimated cost of $41 million with a projected stabilized cash yield of approximately 5%. Also during the quarter, we purchased 60 acres of developable land in Atlanta and Indianapolis for an aggregate investment of approximately $3 million. Approximately 14 of these acres are adjacent to our stabilized completed development project to Fairburn, Georgia and the remaining acreage is next to our existing development site in Mt. Comfort, Indiana. This additional land increases our overall land bank allowing for further development in square footage in our existing markets. We are encouraged by the early indications of interest from prospective users at our 420 acre Olam Farms land parcel in Phoenix. Nothing has been formalized at this point, but we will update you as plans start to move further along. The Phoenix market in general has been exceptionally strong and our billable square footage provides an exciting opportunity for us to secure a larger footprint in the market. With that, I'll turn the call over to James to discuss leasing.
James Dudley: Thanks, Brendan. Our industrial stabilized portfolio occupancy at quarter end was 99.3%. As we mentioned on last quarter's call, we've addressed all 2022 industrial lease expirations to-date and are focused on leasing vacant space in our development and purchase portfolios, as well as select 2023 and 2024 expirations. Looking at 2023 expirations, we expect expiring rents to increase more than 50% based on current negotiations and third-party broker estimates. We've had a good deal of success leasing of space in our warehouse and distribution portfolio. Aside from our development portfolio, we have just 337,000 square feet left to fill across three properties, all of which are showing good activity. Starting with our second generation assets, during the quarter we leased a combined 461,000 square feet with space at two industrial facilities in Olive Branch, Mississippi and Lafayette, Indiana both early extensions for 2023 and 2024 lease expiration respectively. At our Olive Branch facility, we executed a five-year lease extension for a new increased rental rate of 24% over the prior lease and 2.5% annual bumps thereafter. We also executed a five-year lease extension with the current tenant at our Lafayette facility starting in September 2024 in which cash rent will increase by 16% with 3% annual bumps. In our development portfolio, we leased one of the two facilities at our PV 303 Phoenix project totaling 392,000 square feet for more than 10-years with 3.5% annual bumps. Project completion is slated for the fourth quarter with tenant occupancy likely in the first quarter of 2023. As Brendan mentioned, the Phoenix market continues to show strong tenant demand resulting in a starting rent of $7.32 a square foot, approximately 27% above our estimated underwriting assumptions. We also continue to see strong activity on the second building in this park, as well as for the balance of the spec development portfolio. Subsequent to quarter close, we extended an early 2023 expiration for three years with 3.8% annual bumps at our 230,000 square foot industrial facility in Tampa, Florida. This was another great outcome for us where we're able to raise cash rent 41% with the existing tenant. Additionally, we leased the remaining 36,000 square feet at our Lakeland, Florida warehouse and distribution facility for five years, bringing occupancy up to 100%. The attractive starting rent of $7 is 35% above our underwriting assumptions with annual bumps of 4%. With that, I'll turn the call over to Beth to discuss financial results.
Beth Boulerice: Thanks, James. Revenues for the quarter were approximately $80 million with property operating expenses of roughly $14 million of which 85% was attributable to tenant reimbursement. We generated adjusted company FFO for the quarter of approximately $49 million or $0.17 per diluted common share and are reaffirming our 2022 guidance range of $0.64 to $0.68 per share. As a reminder, this guidance range reflects no additional acquisition volume, approximately $285 million of other office and opportunistic industrial sales and several other office sales in our joint venture in 2022. Our forecasted development spend is now approximately $310 million and our 2022 G&A is estimated to be within a range of $35 million to $37 million, excluding advisory costs. Our same-store industrial portfolio was 99.8% leased at quarter-end, increasing 130 basis points, when compared to the same time period a year ago. Our same-store industrial NOI grew 5.8% quarter-over-quarter and 5.5% year-to-date. We are still projecting that our industrial same-store NOI growth in 2022 will be within a range of 4% to 5%. At quarter end, approximately 97% of our industrial portfolio leases had escalations with an average annual rate of 2.4%. During the quarter, we sold $55 million of assets including one office asset and two industrial assets outside of our target market for GAAP and cash cap rate of 6.2% and 6.7% respectively. Most of our office portfolio is still held for sale as of June 30th. With the aggregate market value for these properties estimated to be within a range of $105 million to $115 million and forecasted 2022 NOI of approximately $10.7 million. Subsequent to quarter-end, we took the opportunity to monetize an industrial assets that was outside our target market profile. In addition, we sold an office property and the tenant at our cold storage facility in McDonough, Georgia exercised the purchase option within their lease. These sales were completed at $6.3 million over our initial cost and resulted in average GAAP and cash cap rates of 5.4% and 5.1%, respectively. At quarter end, net debt to adjusted EBITDA was 6.8 times with unencumbered NOI at over 93% of our total NOI. As of June 30th, we had an aggregate of $183.4 million under unsettled forward common share sale contracts. These contracts were scheduled to mature in May, but we chose to extend these out until December 2022 to consider more advantageous capital raising opportunities. Our net debt to adjusted EBITDA would be 6.1 times as we settled these contracts at quarter end. We currently have $485 million of borrowing capacity available under our unsecured revolving credit facility. Subsequent to June 30th, we amended our unsecured credit facility extending the maturity of the revolving portion out to July 2026 for added balance sheet flexibility and improve the terms for applicable margin and debt covenant calculation. Consolidated debt outstanding at quarter end was approximately $1.6 billion, over 85% of our consolidated debt is fixed. With a weighted average interest rate of 2.9% and a weighted average term to maturity of 6.5 years at quarter-end, continuing to keep us well protected against rising rates. With that, I'll turn the call back over to Will.
Wilson Eglin: Thanks, Beth. I will now turn the call over to the operator, who will conduct the question-and-answer portion of the call.
Operator: Thank you. Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] And we did have a question coming from John Massocca from Landenburg Thalmann. John, your line is live.
John Massocca: Good morning.
Wilson Eglin: Good morning, John.
John Massocca: Just curious what you're seeing maybe in terms of cap rate environment as you look out in the back half of the year. Typically in the development side, obviously, given that's where the focus is. Has there been any kind of continued expansion there or has kind of the robust demand, supply and balance kind of help keep cap rates or targeted yields tight there?
Wilson Eglin: Brendan, do you want to offer your perspective on that?
Brendan Mullinix: Yes, sure. Hi, good morning. The impact on cap rates is really the question that everyone in the market is asking these days. And it really seems that we continue to be in a period of price discovery, following the rapidly changing inflation forecast and the resulting rise in interest rates. So I think it remains to be seen. I'll point out too that cap rates are influenced by a variety of variables. You also have to consider the lease duration, the lease escalation structure, the in place rental basis relative to mark to market opportunities, as well as the building and just the market quality. So it's kind of parts generally.
John Massocca: Okay. And then as you kind of think about your investment outlook, how are you weighing, kind of, stock buybacks, you know, versus developments. I mean, is it kind of something you want to mix in a little bit holistically? Just given where the valuation of the stock is today? Or is it a pure apples-to-apples, what can we get in terms of a yield on an investment versus what essentially is the reverse cost of capital, if you will?
Wilson Eglin: Sure. Well, we're very pleased with the development pipeline that we've got and the land bank, so we're looking at new opportunity in that space, but we're being cautious because of change in cost of capital. At the same time, the share buyback is a good opportunity for us and it's immediate versus taking more forward risk. So we like the share buyback right now. We think it's more valuable than potentially adding one more development opportunity to the pipeline.
John Massocca: Okay. And then on disposition front, I mean, maybe just I'm sorry if I missed a bit, it’s kind of broad, cap rate terms on taking the industrial deal, but maybe everything that was penciled?
Wilson Eglin: Beth, do you wanna walk through that?
Beth Boulerice: Sure. Good morning, John. Yes, so you know, we sold three assets during the quarter, one was an office building and two were in the industrial portfolio. On average, all of them to get all of the three of them to get were at a cap rate of 6.7% on a cash basis.
John Massocca: Okay. And maybe just the industrial versus the other assets?
Wilson Eglin: Yes, I think the best data point for the subsequent to quarter end sales is probably the property we sold in Wilsonville, which was roughly a 12-year lease that went off at about a 4.60% cap rate.
John Massocca: Okay. That’s it from me. Thank you very much.
Wilson Eglin: Thanks, John.
Operator: Thank you. [Operator Instructions] The next question is coming from Jon Petersen from Jefferies. John, your line is live.
Jon Petersen: Hey, good morning. Thanks for the time. I guess just on the office sales, I mean any update, I know -- all of these are listed for sale. You can kind of Google, I can see 1701 Market Street on JLL's website. I mean, can you give us any indication of what demand has been like there? And for some of these things like in Philadelphia on Market Street or Coyote Hill in the San Jose area, the lease expiration is coming up pretty soon, but still a little ways away, like I'm just kind of curious whether buyers are more natural as you get closer to expiration, not like a year and a half out. Just any color on how that process is going?
Wilson Eglin: Well, so far so good. You know, we acknowledge that it's become more difficult to sell office this year and we've reduced by a little bit the value of that sale portfolio. But Market Street, that's going to be an asset repositioning and there's a little bit of lease term there for a buyer to have some cash flow between here and redevelopment. But that's probably not going to stay as an office building, although it's possible. And in Palo Alto, that's the one where we have a ground lease that's expiring, so that's just one where the rent is using to fully amortized the debt, but there's no residual value there. So, so far so good, we've got buyers identified for the vast majority of the office portfolio, but it has become a more challenging market to transact in.
Jon Petersen: I mean, what's the confidence level on this stuff all transacting by year-end? Just given these market conditions?
Wilson Eglin: You know, still pretty high.
Jon Petersen: Okay. And then if we look at some of the stuff that you have in joint ventures, I know there has been some selective selling within those portfolios. I mean, should we be -- if we're thinking about our models out for the next year or two, should we be thinking about additional sales within those JV portfolios?
Wilson Eglin: Yes, I think certainly in the office portfolio where we've been selling it down steadily. The plan there is to continue to shrink that portfolio. So we have some opportunities to make some good sales and continue to shrink that in the next couple of quarters, and then we'll have to see what the pace is after that.
Jon Petersen: Okay. And then last question, I guess, in terms of redeploying proceeds from these asset sales, you obviously have the share buyback program, which you've been using. Maybe just talk to us about the decision making between investing and properties at current cap rates, warehouses at current cap rates and buying back your stock?
Wilson Eglin: I think we're more interested in buyback and preserving balance sheet to fund the development pipeline. And then as I mentioned, the land bank provides additional opportunity for us to build more over time. So buyback is better than acquisitions and we don't foresee a need at the moment to purchase anything for tax deferral reasons.
Jon Petersen: Okay. All right, great. Thank you.
Operator: Thank you. And we have John Massocca from Landenburg back in with a follow-up. John, your line is live.
John Massocca: Just a quick one on the land bank, I mean, how should we think about the timeline for executing on development with some of the land bank assets that you have today? Is that going to be a two, three year look out? Or is that something your projects can start as soon as 2023?
Wilson Eglin: Brendan, do you want to jump in on that?
Brendan Mullinix: Yes, hi. The -- I would say that our largest parcel in Phoenix, I would estimate that we're likely to start our first project there in 2023. The balance of the land bank are relatively recent acquisitions and so we most likely and they're adjacent to existing ongoing projects. So we will probably wait to lease the projects that are currently under construction, which we think will happen next year, and then begin planning from there to develop the additional win.
John Massocca: Okay. That was it. Thank you.
Operator: Thank you. And the next question is coming from Wendy Ma from Evercore ISI. Wendy, your line is live.
Wendy Ma: Yes, good morning. Thank you for taking my question. Just have a quick question about the leverage, so your net debt to EBITDA is 6.1 including the 4 shares at the quarter end. But could you please provide us some color if you stabilize your existing pipeline? How much the net debt to EBITDA will be? Thank you.
Wilson Eglin: Sure. Beth?
Beth Boulerice: Hi, good morning, Wendy. Yes, most of the fixed projects come online in the development. We anticipate that our leverage will be coming down, so 6.1 that you quoted will be something around like a 5.4 times at that point.
Wendy Ma: Okay. Yes, yes. Thank you. Yes, that's helpful. That's my question.
Beth Boulerice: You're welcome.
Operator: Thank you. And there were no other questions in the Q&A queue at this time. I would now like to hand the call back to Wilson Eglin for closing remarks.
Wilson Eglin: Good. Thanks again for joining us this morning. And as always, if you have any further questions, I hope you won't hesitate to reach out to me or any other member of our Senior Management team. So thanks again and have a great day.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference. You may disconnect your lines at this time and have a wonderful day. Thank you for your participation.